Operator: Ladies and gentlemen, thank you for standing by. And welcome to the StealthGas Second Quarter 2020 Conference Call. At this time, all participants will be on a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Friday, the 21s of August 2020. I would now like to hand the conference over to your speaker today, Harry N. Vafias, President and CEO. Thank you. Please go ahead.
Harry Vafias: Good morning, everyone, and welcome to our second quarter six months 2020 earnings conference call. This is Harry Vafias, the CEO of StealthGas; and along with us is our Finance Officer, Mrs. Sakellaris. And before we commence our presentation, I would like to remind you that we'll be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage, if you could take all a moment to read our disclaimer on slide number 2 of this presentation. Risks are further disclosed in StealthGas' filing with the Securities and Exchange Commission. I would also like to point out that all our amounts quoted unless otherwise clarified are implicitly stated in U.S. dollars. Slide 3, summarizes the key highlights of our second quarter 2020 results that we released today. In spite of a very difficult and uncertain market due to the COVID-19 dynamic, StealthGas has had an exceptionally good quarter in terms of both revenue and profitability. The key to this success is that we have leveraged upon the strong market prevailing prior to the pandemic outbreak and had secured almost all of our vessels on period charters, thus avoiding the spot market downturn we saw in the second quarter particularly in Europe. Indeed our spot exposure committing almost 10% of our voyage days in the spot market was very low. And as all of our spot vessels were trading in Asia, we managed to keep them employed thus avoiding long periods of downtime. Our operational utilization was as high as 97%. Strong revenue generation along with stable operating costs and very low finance costs were the cornerstones of our second quarter's performance success. Going forward, we have about 71% of our fleet days secured on period charters for the remainder of 2020 with total fleet deployment days for also subsequent periods generating approximately $112 million in contracted revenues, undoubtedly providing us with a good shield against those uncertain times. Including the time charter agreements of our JV ships, total secured revenues increased to $133 million. In addition to this and that in an attempt to renew our fleet to a small extent we took the opportunity of investing a portion of the $25 million proceeds from the conclusion of the MGC JV vessel financing in acquiring two new small LPG ships. The first vessel at 2020 built 5,000 cubic meter pressurized LPG ship was acquired in June 2020, while the second one, which is a 7,500 cubic meter ship newbuilding LPG ship will be delivered in September 2020. Focusing on our financial performance highlights. Our voyage revenues came in at $36.3 million, marking an increase of $2.2 million, compared to the same period of last year, mainly due to sharp price almost 20% of our revenue stemming from our time charters along with reduced presence in the spot market. Our daily time charter equivalent continues to rise. Compared to the first quarter of 2020, our daily time charter equivalent increased by about $1,000, driven by revenue growth in conjunction with a 25% decline in voyage costs. Generating an impressive EBITDA of about $22 million, our net income came in at $8.9 million corresponding to an EPS of $0.23, thus marking the best performance since the first quarter of 2013. Slide number 4, provides an analysis of our fleet employment. In terms of charter types out of the fleet of 42 operating ships, excluding our eight JV vessels we have nine on bareboats, 25 on time charters and eight in the spot market. Compared to the previous quarter, we had two 7,500 cubic meter ships, the Gas Husky, and the Gas Esco coming of bareboat. Plus we have increased our presence in the spot market as market softness due to both COVID pandemic and the summer period make charterers elected to take forward positions. In spite of the difficult economic environment since our last announcement, we concluded five new charters and charter extensions. Overall, we have a solid fleet deployment. Our period coverage for the remainder of 2020 is in the order of 71%. Our contracted revenues are in the order of $112 million with about $45 million secured up to the end of 2020. And including our JVs, total secured revenues increased to $133 million. With slide 5, we are providing a summary update as to our new – as to our two joint venture performances. With regards to our first established joint venture comprising its majority of small LPG vessels, we currently have two of the five under time charter contracts. And given the soft market conditions, the three vessels in the spot market marked the poor performance and consequently did not add significantly to our profitability. Focusing on our second joint venture comprising of three medium gas carriers, these are all our under time charter contracts thus producing a steady cash flow. With our newly concluded time charter contracts for two of these MGC vessels, the JV structure has a 100% period coverage up until April 2021. Proceeding to slide 6, we provide you with a brief summary of our recent sale and purchase activity. In mid-June 2020, we took delivery of a brand-new 5,000 cubic meter pressurized vessel the Eco Texiana. The vessel was acquired refinancing already in place and therefore our equity contribution was only $8 million. Up until January 2021, we have two more vessel deliveries: the Eco Alice a 7500 cubic meter newbuilding vessel to be delivered in September 2020; and the Eco Blizzard an 11000 cubic meter newbuilding vessel to be delivered in January 2021. Financing for these vessels is already committed, and our remaining equity obligation is as low as $7 million. With about $37 million of free cash from StealthGas' balance sheet and additional cash of $11 million as our shareholder stake in our JVs cash balance, our capital expenditure obligations are fully covered. In terms of our fleet geography on slide 7, our company focuses on regional trade and local distribution of gas and this graph is a snapshot of the positioning of our ships excluding our JV vessels as of August 3. And currently, we have 14 of our ships in Europe an equal number in the Middle East five vessels in Africa and five vessels in America. I'll now turn the call to Mrs. Sakellaris for our financial performance.
Fenia Sakellaris: Thank you, Harry, and good morning to everyone. I will continue the presentation focusing on our financial performance for the second quarter of 2020. Indeed the quarter was outstanding given the difficult market situation we're in, due to the COVID-19 pandemic. Amidst these unexpected market conditions, StealthGas leveraged upon its strong fleet deployment its stable OpEx base and its low debt exposure to produce such good and promising results. This is actually a proof of all we have been arguing this past quarter’s that we follow a sound strategy that can demonstrate profitability given the correct circumstances. Indeed, the circumstances in the second quarter of 2020 were right for our company meaning that since the beginning of the quarter we had secured 86% fleet coverage thus protecting us from all the market turmoil that took place plus we had no spot exposure in Europe. Let us move on to slide 8, when we see the income statement for the second quarter of 2020 against the same period of the previous year. Voyage revenues came in at $36.3 million, marking a $0.2 million increase compared to the same period of last year. This increase is attributed to a noticeable rise of our time charter revenue stemming from all of our vessel types namely small LPGs 22,000 cubic meter semi-ref tankers, along with limited exposure in the spot market, which was weak, due to the COVID-19 pandemic. Voyage costs amounted to $2.1 million, marking a 50% decrease compared to Q2 2019 due to spot days reduction by 48%. It's noted that, the sharp decline in fuel price from March onwards also assisted to our voyage cost reduction. Based on all of the above, our net revenues for the period were $34.1 million corresponding to a net revenue margin of 94%. Running costs at $11.6 million marked about 2% decrease compared to Q2 2019, mostly attributed to fewer time charter and spot days due to our fleet contraction. General administrative costs decreased compared to the same period of last year by about $400,000 mainly as our stock compensation plan active in the same period of 2018 ended in August 2019. Based on all this our EBITDA is in the order of $22 million. Interest and finance costs marked close to $1.7 million decrease, mainly attributed to LIBOR decrease and the lowering of our debt. Based on all the points analyzed above, we ended the second quarter of the year with a net income of about $9 million corresponding to an EPS of $0.23. Our EPS result is more than 11 times ahead of Bloomberg consensus that marks the best quarterly performance we have seen over the last seven years. Slide 9, demonstrates our performance indicators for the period examined. As mentioned earlier on, our operational utilization for Q2 '20 was in the order of 97%. We marked a strong performance given the tight market conditions. In terms of adjusted time charter equivalent, we noticed a rise on a quarterly basis by about $1500 daily and outcome mainly due to improved time charter rates.  Looking at our balance sheet in slide 10. Our free cash is in the order of $36.3 million increased compared to the first quarter of 2020 by almost $9 million. As mentioned in the beginning of our call, we utilized the $25 million we received from the conclusion of the MGC JV vessel financing to acquire two new small LPG vessels and substantially reduced our outstanding payables that had to do with our JV arrangement by almost $6 million.  Our JV structures combined currently have cash in the order of $22 million. Most probably excess cash in our JV arrangements will be dividend out to shareholders towards the end of this year thus adding to our free cash base. Our gearing is in the order of 38%. Based on our scheduled principal repayments, we will reduce our leverage by around $40 million per year. We have no balloon refinancing due in the remainder of 2020 with minimal balloon obligation of around $30 million in 2021 for which we have already entered into discussions for refinancing.  I will now hand you over to our CEO, Harry Vafias, who will discuss market and company outlook.
Harry Vafias: Proceeding on slide 11. This unprecedented times, we are going through make it very difficult to assess our markets for the future. A strong element of uncertainty prevails across the broader LPG space as is the case for global shipping nowadays. The COVID-19 pandemic and lockdowns that took place in the second quarter of 2020 have had a sharp impact in all sectors of the economy.  Focusing on LPG demand and supply across geographical regions we witnessed a dramatic decline of LPG demand in Europe and therefore the majority of the refiners in the area scaled back production. Looking at Asia, refinery ramps dropped as well particularly in the northeast of Asia. However, LPG imports held up fairly well.  As to the residential demand for LPG, the COVID-19 pandemic has had a mix impact. As demand in China scaled back, while LPG consumption in India marked a considerable rise. In the United States although LPG production has dropped from 2019 levels volume are increasing lately marking since May 2020 a rise of about 12% while exports are showing an upward trend too.  Moving to slide 12. We see that during Q2 2020 and due to the COVID-19 pandemic outbreak rates for small LPGs declined mostly driven by the sharp deterioration of the European LPG market. Demand for larger ships i.e. 7500 cubic meters remained relatively steady and therefore rate decline for this segment was negligible.  West of Suez the market was heavily affected by the COVID-19 situation. By mid-April, the list of open ships in Europe reached historical heights and for owners with significant spot and/or COA exposure it was not a matter of lowering their freight rates in order to secure employment for their ships, there simply were not enough cargoes. This came about as an outcome of extensive lockdown of economies across Europe including the lockdown of several European refineries which suffered heavily from the drop in demand for oil products.  The standstill in the market lasted all through to the end of the second quarter. Naturally because of the inexistent spot market there was extremely limited time charter activity. It remains to be seen whether a market recovery perhaps a few months down the line will stimulate period activity in the region. The eastern market experienced a far better second quarter than Europe.  After the COVID-19 situation started to improve in China early in the second quarter and the economy opened up again, we saw a significantly more active spot market. This was driven mostly by the Chinese importers starting to buy petchems again after an extended period of lockdown.  In addition, the LPG market remained stable. On the period side, we saw a bit more activity as charters gain more confidence in the market and we're willing to take some forward coverage. As mentioned, it remains uncertain whether heading towards the winter months our market will recover or whether a potential deterioration of the COVID-19 pandemic situation and newly imposed government restriction will keep our segment under pressure.  Regardless of the current situation driven by global economic conditions, our market-specific fundamentals that of an aging fleet and low order will remain positive and will likely accelerate our market recovery rate once a broader economic environment permits it so. The small LPG pressure segment has substantially old tonnage 26% of the fleet is above 20 years of age. Hence, we do anticipate an acceleration of demolition in the future.  Since the beginning of the year, we have recorded a demolition of one small ship as scrapping has come to a halt in the past few months, mainly due to the COVID-19 lockdowns and the subsequent closing of the demolition yards. As per recent published orders, there are 17 vessels that is almost 5% of the total fleet to be delivered up until the end of 2022, a relatively small order book. On slide 13, we are discussing our company's outlook commencing with our share performance since the beginning of the year. The performance of our stock is presenting along with selected gas carriers peer group and the price of oil. The global COVID-19 outbreak and imposed lockdown resulted in a fall in demand for petroleum products. However, the ease of lockdowns in May increased the demand for oil and consequently oil prices began to rise. These events affected energy-related stocks, which has exerted a broad correlation with oil price volatility. The stock of StealthGas was less volatile, but still prices remained low in the region of $2.5. In slide 14, we're outlining the key variables that will affect our performance in the quarters ahead. Given the market's turmoil, it's quite difficult to make predictions. We have isolated three key points that may assist our financial performance in the upcoming periods. First point is, we have quite high period coverage 71% for the remaining of the year, thus shielding us from any further market volatility we might face. Our spot exposure in Europe, however, is bound to be low as we have only three vessels in the region concluding the period charters up until the end of the year. Secondly, we have all of our 22,000 semi-ref ships on time charters at much improved rates, while the majority of our tankers are also in period charters producing a solid cash flow. Last particularly important, we are under a very low LIBOR rate environment. Hence, our finance costs will decrease even further. However, we have 14 vessels concluding their period employment up until the end of the year. But as mentioned the majority of these are situated in Asia, where currently the market is better than in the western region. Moreover, in the two remaining quarters, we have quite a heavy dry docking schedule with nine dry dockings and three water ballast system fittings with a total budget of about $7 million. Therefore, our cost base is quite burdened. The most important and unknown variable, however, is the uncertain market we are in the evident impact of the COVID-19, which has had on the industrial demand for LPG. Concluding our presentation with slide 15, we present a brief summary of our company's and market's strong points and remain confident that once a COVID-19 pandemic eases in our market rebalances, StealthGas is a proven capable of demonstrating an even stronger performance than in the second quarter of 2020. At this stage, I will summarize our concluding remarks for the period examined. In spite of the global turmoil, the COVID-19 pandemic has brought on StealthGas exerted a very strong performance in the second quarter of 2020 marking the best quarterly result we have seen over the last seven years. The pillars of our success were principally our strong period coverage secured ahead of the imposed lockdowns, our stable operating cost base and the lowering of our finance costs. Our conservative strategy of striving to secure our fleet on period charters paid off in that we had concluded several period charters at competitive rates prior to the COVID-19 pandemic outbreak. And hence, we were shielded from any market deterioration, while at the same time managed to improve largely upon our profitability. We proved that we have a strong fleet solid financial position and efficient strategy, which instills us with the confidence in this uncertain market we are facing. Our performance was also proof in our share price levels, which we deem as an unfair reflection of StealthGas' dynamics. Going forward, we still strategically navigate the tides of this pandemic, pursuing the best course of action and means to what we may prove to be difficult market conditions. We have now reached the end of the presentation. I would like to open the floor for your questions. So, operator, please open the floor.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Randy Giveans from Jefferies. Your line is now open. Please ask your question. Thank you.
Randy Giveans: Howdy, team StealthGas. How are you doing?
Harry Vafias: Hi, Randy. Hope you're well.
Randy Giveans: Yeah. All good here. Obviously, congrats on a very strong quarter here far exceeding our expectations for earnings. So with that, should we expect the kind of cost savings we've seen in the second quarter to continue? Or do you expect a lot of them to return closer to the 1Q numbers looking at vessel OpEx, looking at G&A, interest expense? And then on the revenue side, do you expect similar utilization on rates in the third quarter relative to the second quarter?
Harry Vafias: To be honest Randy, it depends how many ships we're going to try and fix on period, if we are successful to doing so, because as you can understand OpEx and cost has a lot to do with -- if the ship is trading spot or not. I would feel confident to say that it would be in between of Q1 and Q2 if you want my opinion.
Randy Giveans: Okay. And then on the interest expense side, is that a fair run rate? Or are you looking at swapping any floating instruments? Or how do you look at the interest expense from the year? Obviously it hasn't had a...
Harry Vafias: No, we are not worried. We are not worried we're going to see a rapid increase of the LIBOR rates. Therefore, we are staying put for now.
Randy Giveans: Got it. Okay. And then in the release, you stated you acquired the two vessels from an affiliate. Can you give a little more info on that the ages? Are they on spot on contract some of the other terms around their pricing?
Harry Vafias: Yes. I think it's in there. They're both brand new. One was delivered in June and one is delivering in September. It's under construction as we speak. Both are Japanese-built ships. The first one has a short time charter on it. The second one is not fixed, because she hasn't been delivered yet. She's delivering end of September.
Randy Giveans: And the cost of those two vessels per vessel?
Harry Vafias: I think it's -- I think it's not in -- it's not disclosed Randy.
Randy Giveans: Okay. Can you give us the total cost for both?
Harry Vafias: I will have to consult my people before doing that.
Randy Giveans: Okay. All right. And then just the last question. Obviously the share price right it's under $3 even after today's pretty good move here. Is there any other tender offer in the near term or maybe continued open market purchases? And then also why purchase two vessels at NAV when you can buy your shares at a 50% discount to NAV? And then in the press release, you state that the share price is according -- an unfair reflection of StealthGas' dynamics. So can you possibly...
Harry Vafias: You know the answer to that Randy. We've been buying stock nonstop as you know over the last three years, both in the open market and through our tender offer a few months ago. But StealthGas' strength is its fleet. If you remember, we sold 13 ships, one was two years ago. So I think buying two brand-new ships to partly replace those older ships that were sold off is not such a big expansion, especially when we think now is a good time to buy quality assets and wait hopefully for a better market when and if the pandemic is taken care of.
Randy Giveans: Got it. And does this kind of substitute for share repurchases? Or is this a complement to that in terms of use of cash going forward?
Harry Vafias: I think we're going to have more authority to buy more shares when we have a better view of the control of the pandemic. If we see that the vaccine is out and people start doing it and the cases go down maybe that will give confidence to the Board to reauthorize us to buy more shares. I don't think we're going to have any authority before we have more clarity on that.
Randy Giveans: All right. That’s it from me. Thanks, again.
Harry Vafias: Thank you.
Operator: Thank you. [Operator Instructions] Thank you. There are no further questions at this time, sir. Please continue.
Harry Vafias: We'd like to thank you very much for joining us at our conference call today and for your interest and trust in our company and we look forward to having you with us again at our next call for our third quarter 2020 results in November. Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect.